Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TowerJazz Second Quarter 2016 Results Conference Call. All participants are present in listen-only mode. Following management’s prepared statements, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, August 4, 2016. Joining us today are Mr. Russell Ellwanger, TowerJazz’s CEO and Mr. Oren Shirazi, CFO. I would now like to turn the call over to Ms. Noit Levi, Vice President of Investor Relations and Corporate Communications. Ms. Levi, please begin.
Noit Levi: Welcome to TowerJazz financial results conference call for the second quarter of 2016. Before I begin, I would like to remind you that some statements made during this call may be forward-looking, and are subject to uncertainties and risk factors that could cause actual results to be different from those currently expected. These uncertainties and risk factors are fully disclosed in our Forms 20-F, F-4, F-3, and 6-K filed with the Securities and Exchange Commission, as well as filings with the Israeli securities authority. They are also available on our website. TowerJazz assumes no obligation to update any such forward-looking statements. Now, I’d like to turn the call to our CEO, Mr. Russell Ellwanger. Russell, please go ahead.
Russell Ellwanger: Thank you, Noit. Welcome to all of you, and thank you for joining us today. The second quarter of 2016 was our strongest quarter to-date with the record revenue of 305 million and EBITDA of 87 million, reaching and approximate 1.2 billion and 350 million annual run rate respectively. We showed increased gross and operating margins resulting in a net profit of 38 million or 13% net margins and breaking 150 million net profit annualized run rate. We continue to experience strong even excess customer demand across our specialty business units driving a third quarter mid-range revenue guidance of 325 million, up 33% year-over-year and with the current roll-up we have an indication of further growth in the fourth quarter of 2016. To support the customer demand and to enable this substantial growth from a $1 billion Q4 annualized revenue run rate to $1.3 billion annualized Q3 mid-range guidance and with the expected further growth in Q4 ’16, we’ve continued our operational strategy of, one, cross qualification and off-loading activities within all of our 200 millimeter factories including the newly acquired San Antonio factory providing us with a more optimized global capacity flexibility, two, we added additional capacity in SAP 2 in Migdal Haemek and in SAP 3 in Newport Beach and three, using available capacity in our TPSCo factories for new third party business. Referring to which TPSCo, third party wafer shipments in the second quarter of 2016 were up 50% from levels in Q1, 2016. We remain in line to the target we announced in 2015 namely to achieve a 25 million third party fourth quarter revenue from the TPSCo factories. In addition, last quarter we began operating our new 8 inch fab in San Antonio. As you may remember, the facility provides us with added capacity and manufacturing capabilities, and a highly technical and experienced employee base. As previously reported, this asset acquisition provided substantial increase in an already growing business with Maxim via a 15 year supply agreement. We have already qualified multiple additional RF and power discrete flows and expect to realize additional revenues to the Maxim baseline in the fourth quarter of 2016. Our financial focus for the year, remains ongoing margin increases resulting in net profit and free cash flow generation growth. It is important to note that our growth is achieved by serving a diversified customer base with equally diverse end product applications for which we provide advanced, differentiated analog technology offerings. As an indicator of having the correct customer partners and serving them well, we continue to see double-digit growth in sales to our Top 10 customers, excluding Panasonic and Maxim, we realized 30% year-over-year growth with these Top 10 customers in the first half of the year. Our customer base is well diversified between the different business units. Our first half 2016 revenue end market breakdown is similar to what we reported in Q4 ’15 for the full 2015 corporate revenues. Specifically, our last [ph] group represented a total of 31% of our first half ’16 corporate revenues, 22 of the corporate revenues served mobile applications and the remaining 9% predominantly served RF infrastructure. Power management and application including industrial, wide space computing and automotive among others represented a total of 28% of our first half corporate revenues. This included both Power ICs and Power Discrete. Our CMOS sensor camera group serving studio, digital SLR, medical, industrial applications among others represented 15% of our first half ’16 corporate revenues. Our mixed signal and others grouping including microcontrollers, A6, ID tags, sensors, U.S. Aerospace and Defense and certain special embedded memories enabling the low power requirements of the Internet of Things represented about 26% of our first half 2016 corporate revenues. As can be seeing, our offerings focus on seamless connectivity, low power conception and sensors. These are the fundamental drivers required by at enabling the Internet of Things. All being high growth markets and for each of which we are partnered with the market leaders. Additionally, all of the above business units have certain automotive end applications, these having very long product lifecycles. To our best knowledge, at least 22% of the corporate revenues are for automotive applications. With regard to our worldwide Fabs, utilization of our 6-inch factory Fab 1 in Migdal Haemek was about 70% or 8-inch Fab 2 in Migdal Haemek having had a capacity increase of 6%, had a utilization rate of about 91% and our 8-inch Fab 3 in Newport Beach having completed the present sales of capacity increase was at 88% utilization rate. All Fab 2 and Fab 3 utilization rates are still above are 85% study state utilization operational model. TPSCo has an average of about 42% utilization with the Tonami Fab now ramping substantially. Taking into account, our worldwide capacity with TPSCo including the Fab 2 and Fab 3 expansions as model utilization, our present wafer manufacturing capacity has increased to allow $1.6 billion of revenues. With regard to our business units, as mentioned we continue to see strong demand and grow across the variety of them. Our broadened advanced technology offerings provide a strong differentiator in each of the markets in which we’re playing. In RF this quarter, we continue to ramped silicon germanium for low-noise amplifiers and power amplifiers serving the handset market and augmenting our more traditional fiber optic silicon germanium business. Specifically this quarter, we announced our partnership with Skyworks Solutions on achieving volume production with our latest power amplifier silicon germanium platform. This platform is capable of integrating all components of front-end module on a single die including the switch low-noise amplifier or power amplifier and RF control, which lowers our customers total build in materials costs, increases our margins and brings us into the market of power amplifiers, which we previously didn’t serve. Also in the quarter, we released a design kit for the next generation version of this platform to key design partners and already have accepted our first customer tap-ins. In RF SOI, we began production of our third generation RF SOI technology, which we called CS18 CT8 [ph]. Feedback from our customers has been consistent that the performance of this technology is superior to others available in the foundry market today and we therefore expect this process to further feel our growth for the most sophisticated RF switch products required by the marketplace. In addition, we continue to execute on qualification of the San Antonio facilities RF SOI remain on track to [technical difficulty] multiple customers this year. The San Antonio capacity is needed to absorb the growth in our RF SOI we anticipate in 2017. Within our power business unit, our power platforms continued to be designed into major products serving mobile, computer, consumer, industrial and automotive markets. Last quarter, we began on mass production of our gen-2 LDMOS both in Fab-2 and in Tanami Fab-5 and started to ramp the state-of-the-art industry best RDS(on) of 10 milli ohm, millimeter square also in Fab-5 Tanami increasing our customers manufacturing flexibility. We have developed a 200 volt SOI platform for high power applications with excellent per midge performance and released our first process design kit to certain strategic customers. The very steep ramp of mixed signal and power management products at Fab-5 continued this quarter. We had more than 50 products enter into Tanami in the first half which will add significantly more production wafer at the end of 2016 and during 2017. We see very high demand in our CMOS image sensor business unit continuing to increase also in the next quarter. The high demand is a continuation of ours and ours customers market share increases, mainly in the medical x-ray and industrial machine vision markets. In the machine vision market, we experienced demand from all of our leading customers for all sensor resolutions starting from 1 megapixel for barcode reading applications through 2 megapixel, 5,8,12 megapixel even 25 megapixel sensor for high-end machine vision and industrial line control applications. These products are based on our current extremely successful global server technology on 0.18 micron node in Migdal Haemek Fab-2 and we expect these platform to continue to win sockets for several years. in parallel, as we stated in the last quarter, we are about to complete the development of our next generation platform for the industrial sensor market based on a 110 nanometer node with state-of-the-art 2.8 micron global shutter pixels. This platform is expected to serve us in the industrial sensor market for the coming decade and beyond. In the medical market segment, we see a strong growth especially in the extra oral dental CT segment but also in the medical surgery market segment. Our customers introduced in the market new sensors that provide excellent performance and have accepted rapid market placement competing successfully with the amorphous silicon technology. Their growth continues even stronger in the coming quarters. We see a nice rate of new products to FAB-2 Migdal Haemek and in the TPSCo Fab-6 110 nanometer and Fab-7 65 nanometer which we expect to ramp the production in 2017. We’re moving forward with new design wins in the high-end photography market in the 65 nanometer, 300 millimeter Fab and we expect to increase our market share in this area substantially. In summary, we showed very strong results in the second quarter in both top and bottom-line financials and we only expect to continue this trend throughout the year. Our organic TowerJazz factories are running at very high utilization with cross qualification activities continuing to progress well at our TPSCo factories and presently ramping at our San Antonio factory. Our balance sheet is stronger than ever and we are excellently positioned to continue our growth for the foreseeable future. As the last note, as released last week the securities class action filed earlier this year in the United States just record was dismissed after a plaintiff request for voluntary dismissed. This occurred without settlement or any other considerations provided by the company and at zero financial cost of the company. With that, I would like to turn the time to our CFO, Mr. Oren Shirazi. Go ahead please.
Oren Shirazi: Thank you, Russell, and welcome, everyone. Thank you for joining us today. The financial statement, we presented for the second quarter of 2016 show record performance for Tower. This includes record revenue of $305 million for the second quarter, record EBITDA of $87 million, record operating cash flow generation of $82 million, $27 million of free cash flow and the GAAP net profit of $38 million for the quarter. We prepaid the entire amount of loans all to the Israeli Bank by raising money from issuance of long-term non-convertible bond. This reduced our cost of capital, while releasing liens and replacing district covenant under the bank loan agreement with might lighter covenants enabling better business in financial flexibility. We present a record cash in short and deposit as of the end of Q2, totaling $311 million and very strong balance sheet financial ratios. I will now provide the P&L [ph] results analysis highlights for the second quarter of 2015 and the first six months of 2016 and then discuss our balance sheet and cash flow. All numbers will be provided on a GAAP basis unless otherwise stated. Revenues for the quarter, a record of $305 million, compared to $236 million in the second quarter of 2015, an increase of 29% year-over-year and the 10% growth as compared to $278 million reported in the first quarter of 2016. Gross profit for the second quarter of 2016 was $73 million reflecting 24% gross margin and represent again increase of approximately 39% as compared to $52 million gross profit in the second quarter of 2015 and an increase of 19% as compared to $61 million in gross profit in the immediately preceding quarter. Operating profit was $40 million for the second quarter of 2016 and 87% increased as compared to $22 million in the second quarter of 2015 and the 30% increased as compared to $31 million operating profit in the immediately preceding quarter. Net profit for the second quarter of 2016 was $38.5 million, reflecting 12.6% net margins, $0.45 in basic earnings per share and $0.40 in diluted earnings per share. The net profit for the quarter included our $10 million net gain from the acquisition of San Antonio fab partially offset by $7 million on non-cash financing expenses recorded GAAP following the earlier payment of the Israeli bank loans. Excluding these two items, net profit was $35 million for the second quarter of 2016, as compared with $25 million for the first quarter of 2016. Net profit was $8 million for the second quarter of last year and $66 million for the first quarter of 2016, which included $41 million net gain from the San Antonio acquisition. EBITDA for the quarter was a record $87 million reflecting 48% increase as compared to $59 million in the second quarter of 2015 and reflecting 12% sequentially increase as compared to $78 million in the immediately preceding quarter. On adjusted basis, as described and reconciled in the table of the press release by us earlier today, adjusted net profit for the second quarter of 2016 was $40 million as compared to $12 million in the second quarter of 2015 and $32 million in the immediately preceding quarter. The results for the first 6 months of 2016 also demonstrates strong growth in revenue, profitability margins and cash flow will further strengthening of the balance sheet. Revenue for the 2016 first half, was a record $583 million, reflecting 26% growth as compared to $462 million in the first half of 2015. Gross and operating profit for the first half were $134 million and $71 million as compared to 85 million and 24 million respectively in the first half of 2015. Net profit for the first half of 2016 was $104 million or $1.22 in basic earnings per share or $1.09 in diluted earnings per share. Net profits for the first half of 2016 included $51 million gain from the San Antonio acquisition, partially offset by $7 million of non-cash financing expense relating to these Israeli Bank loan, early repayment. Net loss for the entire 6 months ended June 30, 2015 was $65 million which included 73 million in a non-cash financing expense associated with the Series F conversion done last year. EBITDA for the first half totaled $165 million representing 50% increase as compared to $110 million in the first half of 2015. I will now go into the balance sheet analysis as of the end of the second quarter. Shareholder’s equity as of June 30, 2016 was $559 million, an increase of 86% as compared to $300 million as of June last year, a 45% increase as compared with $386 million as of December 31, 2015 and an 11% increase as compared with $504 million in the end of the last quarter. Net debt amounted to $51 million as of June 2016 reduced when compared to net debt of 65 million as of March ’16 and $105 million as of December 31, 2015. In our strong cash flow report as mentioned we raised $113 million net of fees of which $2 million were held in escrow and received by us in July 2016 after all bank liens were released. This was from the issuance of long-term non-convertible bonds carrying annual coupon of 2.79% which has final maturity date of 20 23. This fundraising was used to prepay the entire outstanding amount of $78 million to the Israeli bank loans. This refinancing released the liens and street covenants that we had and enhances our business and financial flexibility and strengthening our balance sheet. During the quarter, our free cash flow continue to increase to a record number of generation of cash from operation of $82 million and $27 million in free cash flow after investing $54 million in CapEx. This is compared to $77 million cash from operations in the previous quarter which resulted in $20 million of free cash flow. During the quarter, we received customer prepayments of $11 million, net which we invested in capacity expansion equipment that are included in the 54 million CapEx investment noted about. Cash and short-term deposits continue to grow the balance as of June 30, 2016 was $311 million as compared to $245 million as of March 31, 2016. $206 million as of December 2015 and $143 million as of June 2015. In summary, this was truly excellent quarter for us from all financial perspective. We continue to present revenue increase, margin increase, profit increase and free cash flow generation increases, all with a guided revenue growth. In addition, we significantly strengthen our balance sheet. Our financial focus is and we’ll continue to be generating significant cash flow from operations, free cash flow increased EBITDA margins and net profit bottom-line results. That ends my summary. Now I wish to turn the call to Noit Levi.
Noit Levi: Thank you, Oren. Before we will open up the call to the Q&A session, I would like now to add a general and legal statement to our results in regards to statements made and to be made during this call. Please note that the second quarter of 2016 financial results had been prepared in accordance with U.S. GAAP and the financial tables in today’s earnings release includes financial information that may be considered adjusted financial measures and non-GAAP financial measures under Regulation G and related reporting requirements as established with the Securities and Exchange Commission, as they apply to our company, namely this release also presented financial data which is reconciled as indicated in the table or in the call on an adjusted basis, after deducting, one, amortization of acquired intangible assets, two, compensation expenses in respect of equity grants to directors, officers and employees, three gain from acquisition, net, four non-cash financing expenses related to bank loans early repayment and five, other non-recurring items such as acquisition related costs and Nishiwaki Fab restructuring costs and impairment. Adjusted financial measures, the non-GAAP financial measures should be evaluated in conjunction with, and are not a substitute for, GAAP financial measures. The tables and earnings release also contained the comparable GAAP financial measures to the adjusted financial measures as well as the reconciliation between the adjusted financial measures and the comparable GAAP financial measures. EBITDA is reconciled in the tables from GAAP operating profit. EBITDA is not a required GAAP financial measure and may not be comparable to a similarly entitled measures employed by other companies. EBITDA and the adjusted financial measure presented herein should not be considered in isolation or as a substitute for operating income net, income or loss cash flows provided by operating, investing, and financing activities per share data or other income of cash flow statements that are prepared in accordance with GAAP and is not necessarily calculated or presented on a basis consistent with the same or similar data presented in previous communications. And now, we will open up the call for Q&A. Operator?
Operator: Thank you. [Operator Instructions]. The first question from Cody Acree, Drexel Hamilton. Please go ahead.
Cody Acree: Thanks guys for taking my questions and congratulations on the strong results and progress. Russell maybe if you could, if we get start with your Q3 outlook with the 20 million and you’re expecting at the midpoint for growth. Can you just maybe stratify is any waiting and what will be accounting for that or contributing to that growth?
Russell Ellwanger: I’m sorry. I really didn’t quite follow. What growth rate you’re referring to, what did you say? You said something 20 million.
Cody Acree: There is sequential growth that you’re guiding to.
Russell Ellwanger: Oh, I’m sorry, okay.
Cody Acree: Yeah, any help with the waiting or the contributions that you expect from our different divisions.
Russell Ellwanger: As stated, we really do see growth across all the business units, we certainly see a very strong contribution of growth from CMOS image sensor, particular in the industrial vision and in the medical we’ll see a very nice uptick on that. If we look at the even model platform, if we were to take the first half and compare that to the second half, we were seeing somewhere about an 11% growth of an already a very strong growth in first half and -- but I don’t see really any single business that’s down second half versus first half. So across the board, we see growth probably the single biggest growth on a percentage basis would be the image sensor and probably the next biggest growth on a percentage basis would be the power management.
Cody Acree: Russell thank you that and when you look at that CIS and the growth that you’re seeing here, I guess I wouldn’t expect that some of those underlying end markets whether it be machine vision or maybe particularly medical are growing aggressively, individually, maybe I am wrong about the underlying health of those markets or the growth rates. Is this primarily your share gains and your customer share gains that’s driving us or are you seeing a lot of underlying strength in those applications as well?
Russell Ellwanger: I think in general, the area of sensors is growing. Machine vision, industrial vision, it’s a growing area, the exact CAGR I couldn’t, of the top of my head, tell you what that is at the moment. It’s certainly is a growing area. Our customers are definitely growing share and we have grown share within this market. A lot of what’s happening right now are wins that we really had a good year or year and a half ago that are now moving strong into manufacturing. These are very highly integrated parts sitting above 40 photo layers and at this point we are realizing the shipments of these products in the manufacturing note, not just on the prototyping note and I expect that, that will continue to grow. In the area of the medical, that has a very, very long cycle of adoption but once it is adopted into the market, it stays really very, very long, very difficult to replace once its qualified be it for the extra-intraoral [ph] or for direct medical device but as stated there is quite a big growth in that between second and the third quarter and being maintained in the fourth quarter.
Cody Acree: And Russell, do you think that the next generation products at about 110 nanometer accelerate that growth?
Russell Ellwanger: The next generation of products with a 110 nanometer will certainly prevent us from losing market share and I believe that they could accelerate growth, but we won’t be seeing a manufacturing volume from 110 nanometer activities until most likely at the earliest the second half of ’18 and beginning of ’19.
Cody Acree: I see. Thank you for that. And then lastly --.
Oren Shirazi: Cody just to state, one of the important things about continues roadmap be it within medical devices, cameras and general be it within RF space or power management space. Having developed a reputation and bringing on leading customers in every one of our segments. Very few customers are willing to design to you and take substantial volume from you without an assurance that they can stay with you multiple years. They start designing, they learn your design catch, you other designers, we have a very strong and stated policy in the company that all major developments have to be aligned with first year customers. So with our major customers, we don’t just work on present generation not even just next generation. But we’re typically working on features that are two or three generations out to make sure that at the time of platform is out that it does meet the customer need immediately and that will be taping in this. So and I’m just saying this is add-on to your previous question. So the ability to grow market share in present generations is very, very related and reliant upon having future generation roadmaps that customers believe they’ll be able to continue design to you win. Very few of the quality of customers that we work with right now is a customer that we would take the effort to learn your design environment for a single generation product.
Cody Acree: Thank you for the color on thanks Russell. And then lastly, any update on the capacity of issue to 1.6 billion. If I take any growth in December and annualize that and then apply even a moderate growth rate for 2017. You can easily get into that kind of $1.5 billion range next year. With the existing footprint, I guess do you have further ability to expand within clean rooms beyond the 1.6 billion or is that going to take the next transaction to continue grow beyond that?
Russell Ellwanger: At the San Antonio factory, we’ve actually done some [indiscernible] exercises as to how we can increase the capacity there by another 20% to 30%. And I think is very feasible by moving a few walls to be able to do without having to do any per-say major construction by taking some grey areas and making them into white areas. So there is certainly organically the capability to so growth beyond the 1.6. However not without investment, but would be an investment or we have a very short-term ROI. However, we are and have been active always at looking at deals that we give us incremental capacity. I think our model has been a very good model of taking on capacity being that were analog. We don’t need to build Greenfield with multiple billion dollars of investments. We have been able to with the Panasonic creating, TowerJazz Panasonic semiconductor most recently with the San Antonio factory from Maxim to acquire an asset, in both cases having a strong negative goodwill. So the one-time benefit on the net profit. Now we didn’t do it for the one-time benefit, but basically the ability and you see that in the negative goodwill the ability to take on a very, very good asset under a model that’s a win-win for both the seller and ourselves, to where we have a capacity commitment from the seller so that we don’t take on ourselves our running cost obligation, also the plan to use the utilization that maybe doesn’t materialize and hence not offering a downside to the company or for the shareholders by having a glutton cash to try to maintain something during a period, where you’re ramping third party business. So that being said, we’re always have been and we’ll continue to be active in looking at those type of models. There is other accretive type of models that we’ve looked at and we chatted when we have our analyst in the San Antonio factory and as well we mentioned it in our previous conference call, a China strategy to where we would want to get involved in having manufacturing capability in China. Where our investment would be an investment in kind, not a cash investment. So there is certain things that we’re investigating continually, nothing at the point right now that would necessitate or be wise or require to give any specifics on. But I think a good company is always looking at how do I maintain profitable growth, I think our model of acquisition has been a good model and that hasn’t given a downside risk to our shareholders and hence to the company and we’re continuing to look at that. At what point would we need additional capacity, I am very happy that you believe that will be at the 1.6 billion in 2017, we’ve certainly not stated that. But I would believe that under a present growth rate that the second half of 2017 we wouldn’t need to be looking at additional capacity.
Operator: The next question Rajvindra Gill from Needham & Company. Please go ahead.
Rajvindra Gill: Yes, thank you and congratulations as well on very strong results. A question Russell on some of the new products in the RF business, can you talk a little about the marketshare dynamics that you’re seeing at your customers with respect to this low power noise amplified and integrated WiFi PA. I think the last earnings call you had talked about kind of low levels of revenue in the second half of 2015 ramping to a substantial business going forward. Can you talk a little bit about the ramp of that new product cycle at your customers and how does that resulting -- is that resulting in marketshare gains against global foundries or other. Thank you.
Russell Ellwanger: Certainly the IG based PA, IG based LNA, it’s I believe a significant revenue at this point and continuing such. If I look at this, I think I gave this number. Second half, first half by what we’ve seen now and the customer demand, we should see within the mobile platform an increase of about 11%. If I was to exclude the SiGe there would be an increase of 8%. So you have 3% or I’m sorry 33% of the growth basically is based upon the SiGe platform the second half versus the first half. It’s been very substantial and I believe that it’s an excellent platform especially going forward. And as stated the next generation platform PDK has been released as well. The specific number, I wouldn’t feel comfortable to give right at this moment, other than just, that is a substantial piece of business that we see growing.
Rajvindra Gill: And can you maybe discuss the trend of prepayment, customer prepayment. Is that trend accelerating kind of emphasizing this idea that your customers need to get, they want to prepared for capacity in advance. Is that happen changing throughout the year and they ramp and your RF customers ramp for new phones and major customers in North America and China?
Russell Ellwanger: So first I clarify the prepayments that we receive was not solely for RF. I wouldn’t want to answer the question in that regard, because it wasn’t just for RF. It was for other applications in addition to RF. But no we just completed anything that we have planned on our capacity expansion. We have stated that in Q4 we will see our CapEx going down closer to the 40 million quarterly run rate that we wish to be maintaining and in Q1 to achieve the 40 million and to keep it that rate. So we’re not looking at any other organic capacity expansion and that doesn’t mean we wouldn’t have one or two tools show up for a capability here or there, that can only happen. But capacity expansion that we have planned or we need to be each of doing is pretty much taken care of. Some of that dealt with as well, the added capacity that we now have in San Antonio and the amount of time that it takes to qualify those platforms in order to run it in San Antonio. Something that I said during the script was that the qualification of the RF platforms there we saw critical to the volume that we needed to have in 2017. Certainly, we did not have that capacity coming into 2016 and although we knew that we would have it, the platforms could never have been qualified closing the deal on February 1st to start shipping in the second and third quarter. So the capacity right now, we think is all in place as we’ve stated. We have capacity to ship $1.6 billion. So it’s not a capacity issue right now and hence we are not looking for any customer prepayment to add organic capacity. Did that answer your question, I hope it is.
Rajvindra Gill: Yes. It did, clarified it. And last question again on the RF side. So you’re ramping a lot of your major customers with these new products. So each of these modules have 2 to 4 ICs, which includes switches, antenna and power amplifiers, low-noise amplifiers, and I want to get a sense of the competitive advantage that you guys have in terms of your process technologies over the competition. Particularly around the RF SOI, your SiGe technology. Can you -- maybe some -- maybe a little more detail in terms of how are your processes technologically superior to your competitors as the RF guys move into these integrated modules?
Russell Ellwanger: So, if you’re looking at the SiGe based L&A or SiGe GPA, there is just a question of trying to do a very, very advanced switching speed on a SiGe platform and being able to incorporate other functionalities, the RF CMOS as well as the L&A, the switch, the power amplifier. Are we strongly differentiated against our competition, we certainly had a very nice PR from Skyworks Solutions about going in to manufacturing with us in a more advanced platform that’s being released. If you look at the RF SOI, I believe as stated that the most recently released flow in QT-8 has substantial advantages with regards to the switching speed, R1-COF as well as the linearity and we have increased roadmap going on there to where we had spoken off having a sub-90 femtosecond platform in our 300 millimeter factory and Wozu and TPSCo for where we have supplied customers with samples. So the differentiation, again it comes into what you do within the silicon and how do we partner with customers to make sure that the silicon we’re producing meets the feature requirements that they have.
Rajvindra Gill: And given our expertise in these processes, are you going to see a trend where the, your RF customer starts to outsource more of the foundry to external suppliers like yourself and can you talk about what percentage of the foundry they do internally versus externally and where that could cost as we go?
Russell Ellwanger: I think if you look at it without being specific about any of our customers, but if you look at the leaders in the front-end module they all have their own gallium arsenide capabilities, none of them have really an RF CMOS. So anything that’s done with RF SOI is done outside of their own factories, anything that will be done with silicon germanium is done outside of their own factories. How much have they moved from gallium arsenide pHEMT to RF SOI and I think that the market there is about 85% movement to the RF SOI. And as far as the gallium arsenide for a power amplifier, the predominant market has stayed with gallium arsenide for power amplifier. But as far as any specific one of our customers, and how much foundry outsource did they do versus what they do internally, that’s really a question that should be asked to them, not to be. As far as what we make for our customers, they do not have capability to do it inside their own factories.
Operator: The next question Richard Shannon from Craig-Hallum. Please go ahead.
Richard Shannon: I just have a few questions. So, maybe following up on your commentary regarding TPSCo third party revenues and Russell, I think you said last quarter you expected to exceed your first stated goal of getting to a $25 million run rate by the end of this year and you’re kind of echoing those comments this quarter seems. Are you saying you don’t expect to exceed it anymore, can you just clarify that relative to your comments from last quarter?
Russell Ellwanger: What I talked about was a 100 million run rate, so the annualized 100 million run rate or the 25 million quarter. We still expect to exceed the exact 25 million number.
Richard Shannon: Okay. And I apologize, if you were more precise in your opening comments, I missed those, but can you tell us what areas you are driving that, as you get to the $25 million number and then even, I think you’ve given a goal is getting to $50 million a quarter number by the end of next year. What would drive that as well, different areas or the same?
Russell Ellwanger: It’s the same, but more of sort of speak. I don’t want to sound obtuse, what’s really driving a lot of the immediate growth now is the qualifications of the power management flows and the mixed-signal flows in the Tonami factory. So a lot of the growth that we’re seeing there is growth because of a cross qualification, where we needed to have greater capacity to meet customer needs. And then in addition, we have other platforms that have been developed that were not across qualified platforms that is also ramping at the moment. And some of that what we expect will be a big portion of the growth in 2017 will be the 300 millimeter image sensor products, which is not a substantial part of the 2016 revenue.
Richard Shannon: Okay. That’s kind of what I thought it was, but thanks for confirming. Thanks for that response Russell. Couple of more questions from me. I think you mentioned that your top 10 customers excluding Panasonic and Maxim grew something like 30% year-on-year. What is that outlook look like with that group of customers as you look into the second half or even further if you carry to take it that far, be curious to know what that looks like?
Russell Ellwanger: It’s a good question, I haven’t done the analysis. If we include Maxim, I can say it would be much more than 30%. For a fact of the acquisition of the San Antonio factory. I really don’t know off the top of my head and I wouldn’t want to be misleading. I assume [Multiple Speakers].
Richard Shannon: Okay. I think follow-up later, when you can try to do that analysis, but it’s an interesting comment to make so, I’ll move on here. I think you mentioned, you’re expecting further growth in the fourth quarter your typical trends in the fourth quarter last year existed grow. Are you suggesting that you expect to grow at least in line with your averages in the fourth quarter or could it be even higher, if you could just delineate that comment a little more that would be great to hear?
Russell Ellwanger: I wouldn’t want to set an expectation right now for the fourth quarter other than we’ve forecast additional growth for the third quarter. The 305 to 325, I think is quite significant and the major reason that I wanted to point out the fact of having additional growth in the fourth quarter is because we see it being sustainable. The exact number, again I wouldn’t want to give the target right now. But we do see growth and for me to mentioned growth it wouldn’t mean going from 325 to 326.
Richard Shannon: Okay. Fair enough. My last question, you called out exposure into the automotive market. I think you mentioned, you believe as much as 22% of your total sales or related to automotive in some fashion.
Russell Ellwanger: I believe at least 22%, why do I say that. A good amount of discretes going into automotive applications and I don’t have visibility as to where our customers sell the discretes into. The discrete customers that we have, the bulk of them are well known has been press released, that’s Jase’s Iconics, its Infineon having acquired IR and its fair child. A fair amount of the discrete products that we make, the power discretes go to automatic but I have no breakdown of that really whatsoever.
Richard Shannon: Okay.
Russell Ellwanger: But the 23% is that which I know, which does not included in the breakdown of the discrete.
Richard Shannon: Got it, okay, interesting. Within the parts that you do know about any thoughts on what the historical or most recent trend on growth rates has been there?
Russell Ellwanger: I think it’s been very flat, I mean the revenue has grown in the company, as a company where are we selling into a good amount of automotive. We have image sensors that are going into automotive, that continue to that are growing within that. We have a nice growth that will be coming on, really a nice growth in the area of automotive radar, but this is a silicon germanium platform for collision avoidance and it is qualified. It is now ramping into production and I expect sometime in the Q1 timeframe to be able to release that entire ecosystem of product which is very substantial and we have within the TPSCo factories a good amount of automotive that’s produced there and that is very, very stable if not growing and we have within the San Antonia factory automotive that has produced there of which I, we’ll never give a breakdown specifically of what Panasonic for their end product is putting into automotive or Maxim or their end products are putting into automotive. Again, that’s for them to say, but that’s where the 22% is made off.
Richard Shannon: Got it, okay I appreciate all that profile is good to hear. All my questions thank you guys very much.
Operator: There are no further questions at this time. Mr. Ellwanger, would like to make your concluding statement.
Russell Ellwanger: Certainly. Well I really do thank everybody for the questions, I think they were very good questions. I appreciate the interest in the company, as stated during the call and really as per Oren’s concluding remark, it really was a very, very strong quarter for the company. We have stated for a while what our strategy is within the analog space. We have had this acquisition model if you will for a good period of years and I am very, very happy that at this point the numbers are verifying that our strategy is solid and that our tactics to implement the strategy have been good. As stated, we continue to focus on our margins, on increasing the free cash flow and the analogous net profit that that is dependent upon. So we look forward to the next quarters, the next years. We thank you for your interest in the company and for your loyalty to the company. We will be next week at the Oppenheimer 19th Annual Technology Internet & Communications Conference in Boston on August 9th. I’ll be presenting there, I’d love to meet whoever is available to be there, it would be enjoyable. On August 30th, we will also be presenting at the Jefferies Semiconductor Hardware & Communications Summit in Chicago Dr. Marco Racanelli will be presenting there, he is the Head of the RF business unit. So any of you who would like to engage and vary in-depth discussions with him on the RF space. Certainly he can get into it to much greater depth than I can, so I think that could be enjoyable for you as well. So that being said, look forward to meeting you at one or both of these conferences. And if that’s not possible, you can always meet us here in Migdal Haemek and often time in San Antonio or Newport Beach. So thank you very, very much. And have a good night.
Operator: Thank you. This concludes the TowerJazz second quarter 2016 results conference call. Thank you for your participation. You may go ahead and disconnect.